Operator: Ladies and gentlemen, thank you for standing by and welcome to the First Quarter 2019 Earnings Conference Call. At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference call is being recorded today, the 16th of May, 2019. I would now like to hand the conference over to our first speaker today. Tip, please take over.
Tip Fleming: Thank you, operator. This is Tip Fleming from Christensen. Hello, everyone and thank you for joining us today for 111's first quarter 2019 earnings conference call. The company's results were released earlier today and are available on the company's IR website at ir.111.com.cn as well as via the news wires. Also, on the IR website is a PowerPoint presentation that accompanies that comments today. If you have not already done so, please feel free to download it now. It will make it easier for to you follow management’s remarks. On the call today from 111 are Dr. Gang Yu, Co-Founder and Executive Chairman; Mr. Junling Liu, Co-Founder, Chairman, and CEO; Mr. Luke Chen, Chief Financial Officer; Mr. Harvey Wang, Co-COO; and Mr. Barry Zhu, Co-COO. Junling will provide an overview of the company's highlights and business operations, followed by Luke, who will discuss the financials and guidance. They will be available to answer your questions during the Q&A session that follows. I remind you that this call may contain forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements constitute forward-looking statements within the meaning of Section 21(e) of the Securities Exchange Act of 1934 as amended as well as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements can be identified by terminologies such as will, expects, anticipates, future, intends, plans, believes, estimates, targets, confidence, and other similar statements. Among other things, the business outlook and quotations for management in this announcement as well as the company's strategic and operational plans contains forward-looking statements. The company may also make written or oral forward-looking statements in its periodic reports to the U.S. Securities and Exchange Commission and its annual report to shareholders in press releases, in other written materials, and in oral statements made by its officers, directors, or employees to third parties. Such statements are based on management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties, and other factors, all of which are difficult to predict and many of which are beyond the company's control. Forward-looking statements involve inherent risks, uncertainties, and other factors that could cause actual results to differ materially from those contained in any such statements. Potential risks and uncertainties include, but are not limited to uncertainties as to the company's ability to comply with extensive and evolving regulatory requirements, its ability to compete effectively in the revolving PRC general health and wellness market, its ability to manage the growth of its business and expansion plans, its ability to achieve or maintain profitability in the future, its ability to control the risks associated with its pharmaceutical retail and wholesale businesses, and the company's ability to meet the standards necessary to maintain listing on the NASDAQ Global Market, including its ability to cure any non-compliance with NASDAQ's continued listing criteria. Further information regarding these and other risks, uncertainties, or factors is included in the company's filings with the U.S. Securities and Exchange Commission. All information provided on this call is as of today and 111 does not undertake any obligation to update any forward-looking statement as a result of new information, future events, or otherwise except as required under applicable law. It is now my pleasure to introduce Junling Liu. Junling, please go ahead.
Junling Liu: Thank you, Tip. Hello, everyone. In reviewing our strong Q1 performance, I'd like to emphasize a few key points. First and foremost, our net revenue was up 98.5% year-over-year at RMB 655.6 million and up 17.6% quarter-over-quarter, exceeding the high-end of our guidance. This growth was driven by a robust performance in our B2B segment. Gross profit improved significantly as well, up 43.9% from the fourth quarter 2018 with improvement in both B2C and B2B segments. Second, let's take a closer look at the growth in our B2B segment on Slide 4. Over the past few quarters, we kept a fast pace, acquiring new pharmacy customers. In the first quarter of 2019, we added 20,000 pharmacies into our virtual pharmacy network and are now serving 170,000 pharmacies. Our goal is to reach 230,000 pharmacies by the end of 2019, about 50% of the total number of retail pharmacies in the domestic market. During the quarter, we processed 141,650 orders with a compound quarterly growth rate of 60.7% since the first quarter of last year. This increase was primarily due to the competitive advantage we have with our Smart Sourcing System and Price Intelligence System. Our Smart Sourcing System proactively tracks products and monitors competitor prices using big data technology. The Price Intelligence System has automatic pricing tracking and the pricing functions to ensure that pharmacy customers are provided with the most cost-effective products. As a result of the expanding number of pharmacies and the increasing total number of orders, our B2B revenue was up 246.5% year-over-year and 39.2% quarter-over-quarter at RMB 459.5 million. Between the first quarter of 2018 and the first quarter of 2019, the compound quarterly growth rate of revenue in our B2B segment was 36.4%. Third, during the quarter, we have made further progress in building our ecosystem, which includes patients, medical professionals, pharmaceutical companies, insurance companies, governments, and more. By leveraging this ecosystem, we aim to improve drug accessibility and eventually reduce costs. Slide 5 shows some of the concrete steps we accomplished during the quarter. We are now directly sourcing from 98 pharmaceutical companies. We signed a memorandum of understand of strategic cooperation with Eli Lilly, a global pharmaceutical company to roll out a fourth sales channel solution by focusing on big data, e-prescriptions up to services and patient medication education. We successfully cohosted and presented at the Internet + Healthcare Development Summit during the World Health Expo in Wuhan in early May. Turning to Slide 6, we have made further progress in strengthening our supply chain management. We're playing an important role in the transformation of pharmaceutical distribution by leveraging our extensive experience in supply chain management and our large user base and technological resources. With continuous improvement in our four operating centers in North China, West China, East China, and South China, our fulfillment cost as a percentage of net revenue decreased from 4.3% in the first quarter last year to 3.2% this quarter. As shown on slide seven, we're doing business differently. Our innovative and scalable cloud-based platform is built upon a technology infrastructure that is capable of analyzing massive amounts of data to facilitate customization. As a result, we gain better knowledge of pharmacies' shopping patterns and behaviors. Compared to traditional drug distributors, we have been able to reach pharmacies in more effective and efficient ways, such as One Drop mobile app, physical field visits, and tele-sales. Our built-in smart sourcing system has also helped to simplify the shopping process and improve customer experience. Last but not least, I will talk about the initiatives we are taking in our B2C business. We are now focusing more on medical-type users who are high-value customers rather than consumer-type users. In the quarter, we have enhanced our chronic disease CRM system, which has made it possible to move from passive repurchasing across our network to continuous prescription management, providing in-depth service to patients with chronic conditions. The healthcare delivery model in China will be transitioning from hospital and doctor-centric to a patient-centric model. And we are building a platform which is patient-friendly. Our B2C business will be focusing on building the capabilities of the patient lifecycle management, with modules such as patient education, drug adherence management, automatic refills, and so on. One of the trends worth noticing in the healthcare space in China is that commercial insurance will be experiencing rapid growth. We are uniquely positioned to provide PBM-type of services to commercial insurance companies so they can have clear visibility into the whole process from drug purchasing to patient service. In conclusion, we're embracing the recently healthcare reforms initiated by the Chinese government. And it is our belief that China will ultimately have one of the most efficient healthcare systems in the world. 111, Inc. is ideally positioned to benefit from this, given the unique capabilities we have built, including our smart supply chain, the nationwide footprint of our virtual pharmacy network, the largest in China, and our integrated B+C platform. Our value proposition remains focused on the basis of transparency and efficiency. As a leading integrated online and offline healthcare platform in China, we play a crucial role in enabling the pharmaceutical ecosystem through our unique P2B2C business model to provide improvements in both customer and business – consumer and business-oriented healthcare services. Before I pass the call over to Luke, I'd like to take a moment to announce that Dr. Leon Lian Yong Chen is joining our Board of Directors. He will be replacing Harry Hui, who unfortunately has decided to step down for personal reasons. I would like to thank Harry for his dedication and substantial contribution to 111 during many years he served on our board. However, we couldn't be happier to welcome Leon. Leon has extensive knowledge and expertise in life sciences, pharmaceuticals, and the biotech sector, as well as broad experiences in management, strategy, and the capital markets. He will make a great addition to the team. With that, I will hand the call to Luke to walk through our financial results in this quarter.
Luke Chen: Thank you, Junling. If you have not already done so, I would encourage you to download the financial slides we posted concurrently with our press release earlier today in the investor relations section of our website. So moving to the financials, the details for the first quarter 2019 ended March 31, 2019 have been published in our earnings release and you can see them in section two of this presentation in slides 8 to 12. I would like to highlight the key business and financial matrix and our focus on year-over-year comparisons with all numbers in renminbi unless otherwise stated. In the first quarter of 2019, net revenues increase 98.5% to RMB 650.6 million. Product revenue from our B2B segment was up 246.5% to RMB 459.5 million from RMB 132.6 million. Product revenues from our B2C segment decreased 1.1% to RMB 192.3 million from RMB 194.4 million. Turning to Slide 10, gross profit in the quarter decreased by 19.1% to RMB 33.3 million and the gross margin was 4.1% for the quarter as compared to 12.5% in the same quarter last year. The decrease was mainly due to the margin decrease in our B2B segment. Gross margin in our B2B segment was 0.9% this quarter, as compared to 6% in the same quarter last year, which was primarily due to our investment to rapidly expand our B2B business. However, gross margin for both segments has improved substantially this quarter as compared to the previous quarter. Turning to Slide 11 for a detailed breakdown of operating expenses – total operating expenses were up 67.8% to RMB 139.8 million. As a percentage of net revenue, total operating expenses were 21.2%, down from 25.4% in the same quarter last year. We have seen this scaling effect. Fulfillment expenses increased 48.4% to RMB 21.2 million, primarily as a result of growth in our B2B business. Fulfillment expenses as a percentage of net revenue was 3.2%, down from 4.3% in the same quarter last year. The sales and marketing expenses increased 79.8% to RMB 75.5 million, mainly due to the increase in the number of sales staffs and expenses associated with expansion of our B2B business. Sales and marketing expenses, as a percentage of net revenue, was 11.5%, down from 12.7% in the same quarter last year. G&A expenses increased 93.6% to RMB 27.5 million, mainly due to the increase in managerial staff and share-based compensation expenses and the G&A expenses as a percentage of net revenue was 4.2% of net revenue and down from 4.3%. Technology expenses increased 13.6% to RMB 15 million, primarily due to investment in platform and product development, including the recruitment of technology-related staff. Technology expenses accounted for 2.3% of net revenue and down from 4%. Turning to Slide 12, net loss attributable to ordinary shareholders was RMB 118.5 million compared to RMB 42 million in the same quarter last year. And then GAAP net loss attributable to ordinary shareholders were RMB 96.3 million, compared to RMB 33 million in the same quarter last year. As compared to GAAP net loss attributable to ordinary shareholders at RMB 109.6 million in the previous quarter, the net loss narrowed down sequentially. As of March 31, 2019, the company had cash and cash equivalents, restricted cash and short-term investments of RMB 1 billion, compared to RMB 1.1 billion as of December 31, 2018. For the second quarter of 2019, the company expects total net revenue to be between RMB 770 million and RMB 805 million, representing a year-over-year gross of approximately 92.1% to 100.9%. This forecast is based on current market conditions and reflects the company's current and preliminary estimate of the market and operating conditions and the customer demands, which are all subject to change. This concludes our prepared remarks. Thank you. So, Operator, we are now ready to begin the Q&A session.
Operator: Certainly, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We have our first question coming from the line of Erdong Hua from 6 Dimensions. Please go ahead.
Erdong Hua: Thanks, Junling and Luke for an update. This is Erdong Hua from 6 Dimensions Capital. I have two questions, actually. Number one is what is your views of the private and commercial health insurance development in China and what role can 111 play? Number two is as Junling just mentioned, in terms of the healthcare delivery, China is in the process of transforming from a hospital and doctor-centric model to a patient-centric model. So, could you please elaborate on your comments about the patient-centric model? Thanks.
Junling Liu: Thank you, Erdong. And let me just address the first question on the private or commercial health insurance in China. I think one can safely bet that this will be experiencing a rapid growth in the next few years as we have spoken to many different healthcare insurance providers because the state will primarily want the Medicare or the state-run Medicare to provide the most basic care and primary care to its citizens. And there are many incentives out there from government policy, including tax reductions if you purchase commercial insurance. And obviously, we are very uniquely positioned in the space given the capabilities we have today. Every single insurance provider we have spoken to all require or would like to look for partners who can help them to do expenditure management. And we're in the position to be able to provide a transparent full visibility from drug purchasing to the prescription appropriateness to the individual patient management, lifecycle management. And I think this is going to be a major area for us to focus in the foreseeable future. And we are very bullish on the development in this space and we have already made that investment with a dedicated team. So, we want to take advantage of this rapid growth opportunity. With regards to your second question, what I mean by a patient-centric model. As everybody understands in China today, the only way for you to receive Medicare or healthcare is to visit the hospital to queue up to get a registration number and you see a doctor who will spend a few minutes with you and then give you the prescriptions or give you a whole bunch of tests and then eventually give you prescriptions and so on. That is basically the only way. There aren't that many other available means for patients to receive care. And obviously, there are many other companies like us who came into the space with internet backgrounds. And the platform we're building is much more patient-centric because we came from a B2C background and our business model is basically built towards the patients. So, if you look at our view of a patient lifecycle management, in addition to the care a patient can receive from the hospital or a doctor and there has to be many other things that needs to be done. For instance, the patient education, today there are no other places for the patient to receive care. The adherence management or the drug enforcement, and today, the patient will have to go back repeatedly to visit hospitals to get a refill. And one of the recent hospital visits we had with the administrators of the hospital, we were told that two-thirds of the patients were refill patients and that created tremendous wastage of our medical resources. And with the ecosystem we have built out, we believe we can actually complement the doctor and the hospital service with our modules like the patient education, the automation refill, and the adherence management, and so on. That's what we mean by a patient-centric model. And there aren't that many companies out there in the space with the same capabilities like we have. So, I hope I have addressed your question.
Erdong Hua: Thank you, very clear and helpful.
Operator: [Operator Instructions] We have our next question coming from the line of Leon Chik from JPMorgan. Please go ahead.
Leon Chik: Hi. Congratulations on the results. So can you just walk us through the marketing expenses? It's up 82% year-on-year. However, I believe that you're not really adding to your salesforce. So, just trying to look toward the rest of the year and going forward, how should we expect marketing sales to grow – marketing expense to grow in the next few quarters and also next year? Thanks.
Luke Chen: Thank you, Leon. Yes, the sales and marketing expenses for the quarter is around RMB 75 million. If you’re looking back for quarter three last year, the sales and marketing is around RMB 77 million and quarter four, it’s RMB 78 million. Although, if you compare year-over-year with first quarter last year, it seems to increase substantially, but if you recall that in the first quarter last year, we just kicked off the B2B business expansion, right. So we believe our team is expecting there and we will be able to continue to keep that level of investment and then continue expansion on the topline. As a percentage of net revenue, sales and marketing will continue to go down. But we don’t expect to adding more and more marketing expenses in this regard.
Leon Chik: Great. If I may just add a follow-up, so I roughly estimate your annual ARPU, like revenue per drug store as about RMB 12,000. So that’s a pretty big improvement from the same period last year. Can you just walk us through maybe after you sign a new drug store, typically what happens? As they get used to your platform, how does the growth per customer can be achieved over time? Thanks.
Junling Liu: Sure. Our COO, Harvey is going to take on this question.
Harvey Wang: Thanks for the question. For a typical customer, for example, like path on that all once as long as they register in our ATP and we need to exchange a couple of certificates, and so which is required by the law. And after that, normally, they will place a small order. The order volume is about RMB 1,000 to RMB 1,500 as the first order. Normally, it’s about 3 to 4 SKU. And after that, the next – in about two days or even less than two days, probably the next day, they will receive the goods and after that, normally within the next week, they will continue to place the second order. And the order quantity, as well as the volume of the order will continue to increase up as the time goes on and as they familiar with our platform, familiar with our product. So we are seeing the typical customer, their ARPU will increase about two to three times in two months.
Leon Chik: How about like a year after? I mean what – I mean like from the first two months to, say, a year later, I mean what typically happens to the – is it still a very small part of the purchase, right? So we just want to see how they ramp up in terms of buying more stuff from you guys.
Harvey Wang: For very early stage, I think about one year ago, actually, we haven’t really saw the so called single-store pharmacy business. At that time, they were chain stores. And as I remember, based on the record, in about six months, for a typical one job more customer, they are purchase on a ARPU about four to five times compared to their first month.
Junling Liu: Leon, that’s a good question. And in the real world, obviously, we are in the very aggressive mode of acquiring new customers. There will be attrition because once we finish the initial order paperwork to clear all the obstacles to have an order placed or to have an order fulfilled, they will forget about us and our sales team would have moved on. Obviously, we have a pretty good CRM system and we track some of the customers who went dormant. We need to have wake up programs and so on. So our anticipation is not on the quarter-over-quarter basis at a grand scheme of pictures. The [indiscernible] will grow on a quarter-over-quarter basis. Even though, let’s say, Q1 versus Q4 is a down quarter, we still showed a pretty strong growth from Q1 over Q4, given we have almost a month off in Q1 during the Chinese New Year. Obviously, at a grand scheme level, we expect growing very nicely. We’re anticipating that will continue to grow. Once we finish the acquisition priority by the end of this year, we will have 230,000 and obviously, we’re going to be turning back to make sure that all of those who have signed on, we need to make sure that every single one of them get activated. Our focus by then will be making sure that all of them are going to be active and also, we need to look into different geographies and how we can gear up their [indiscernible] In other words, we would rather use a terminology like shared wallet to measure how we are progressing in relation to whatever they need and whatever services we’re providing. Thank goodness we have all the technology to actually get a better view of what they truly need and how technology can give us the guidance on what type of assortment management we need to have based on the customers in different geographies.
Leon Chik: Great. Well, hopefully we can continue to see growing. Thanks.
Operator: Thank you. We have our next question coming from the line of [indiscernible] from Citibank. Please go ahead.
Unidentified Analyst: Hello. Can you hear me.
Junling Liu: Yes. Go ahead.
Unidentified Analyst: Hi. This is John call from Citi. Thanks for the presentation. I have just a few questions. Let’s start with the first two easy ones and then I have two follow-up questions on the business model. And thanks for taking my question. First of all, could the management clarify a little bit on what are the medical-type customers? Could you give me a granular breakdown on these customers? Who are they, really? Because I actually want to see what is the breakdown of pharmacies and hospitals. And please elaborate on that. The second clarification that I have is what is the room for the operating leverage? I’m seeing a good trend that the margins are getting better. What should we expect from the future trend from now and on? And that’s the second question. And two follow-up questions on the business model. Could you please compare the rest of the market competitors? Do any of them specifically have a similar integrated B&C platform they are using right now, business plus consumer? Could you please elaborate on what’s the difference between the competitors and us? Beyond that, I would like to ask a follow-up question on our business end. On our business, I see the smaller retail pharmacies are facing competition from larger retail pharmacy chains and they have the choice to actually collaborate with us or get themselves consolidated. When they make the decision to either get acquired or work with us, what is actually on their mind? Please elaborate on that. Thank you.
Junling Liu: Thank you, John. Great set of questions. Maybe I'll have a shot first and then see if my team has other comments. So with regard to your first question on the typical customer profile, we don't really work to service the biggest chains. If you take away all the big guys out there in the market who has pretty much all the capabilities they think they needed to have, a typical customer would be a small chain, would be a stand-alone store. Because if you look at their challenges today, they have to have a sales team. They have to buy from a whole heap of distributors. The prices they buy usually are fairly lousy because they simply do not have the reach to even get to the Tier 1 or Tier 2 distributors, let alone the pharmaceutical companies. And their inventory days on hand is actually pretty high. Based on our research, if you have a 180 days, that is actually pretty good because we have seen 300 days, 400 days, et cetera. And the service we actually offered to those pharmacies, the first service we offered to them is actually inventory on demand. Basically, we move all the inventory over the cloud. It's just like companies like us, today, we don't actually have our servers anymore. We put all of our servers, our storage into Ali Cloud and Ali buys all the servers and all the storage and so on. So, it's a similar concept except we actually do it in a harder way and we've got to have our supply chain to support us in doing that. By having access to that service, we create tremendous value for those little guys. And if you look at the market landscape, there are 450,000 pharmacies out there. More than half, actually are stand-alone stores. And the biggest guy only has about 5,000 stores. That is slightly over 1% of the total market. So, the fragmentation is the real issue. And we believe that by consolidating all those little guys and consolidating all their demands, we'll help them to do the negotiation, we'll help them to manage the supply chain, we create tremendous value for their business. And in terms of the operational leverage, it's basically a volume gain. If you look at our revenue growth, we still anticipate pretty robust growth in the foreseeable future. And in the meantime, we're not really adding proportional people or deploy proportional capital infrastructure across the country in order to service all those little customers across the country. So, obviously, the operating leverage will be done through the volume play and we anticipate that in terms of the cost to fulfill, in terms of the sales and marketing, in terms of general expenditure or the G&A. They are not going to grow as fast as our revenue and that's where we're going to achieve the operating leverage. And I'm looking forward to presenting those numbers in future quarters. And in terms of the business model, as far as we can see, there isn't anyone out there who has exactly the same capabilities like we do. We believe we're the only with the integrated B+C platform out there. And if you look at the big players, there are three listed companies out there today in our space. You've got Ali Health, you've got Ping An Good Doctor, who are primarily B2C models. And you also see that JD Health, they're also a B2C platform. Although they claim they are doing B2B, it's still a platform play. And they don't really play the first party game on the B2B space. And it's really facilitating transactions on their platform. There are a few potential online B2B players. And all they have is a B2B marketplace model. So based on our intel in the market, we're the only one with the integrated B+C platform. That draws to really our mission. Our mission is to build the integrated online and offline healthcare delivery service model, right. So that platform today in China is very, very unique and with the macro trend of the healthcare reform, the country is carrying out, we believe we are uniquely positioned to benefit from that. And you brought up a very interesting point about the consolidation of the market. It is also our belief that the consolidation will continue to take place. We are not surprised because the big guys are on the hunt of great targets to acquire. Obviously, we were in that game in the past as well, but if you look at the real problem of that consolidation strategy, it's that there has been no lack of effort in the past seven years. The biggest guy today only got to 5,000 stores. There are tremendous difficulties in consolidating all those guide through equity. Why? If you look at those, let's say, small chains – let me know – let's not talk about the standalone stores, right. Typically, the way they make money is not through having good purchasing prices. It's having very effective or efficient operations. It is because they do it through evading taxes, through really squeezing their employees' social benefits and so on. For a money-making business on the reports, once you acquire them and make everything compliant, it will become a money losing business. That is where the tremendous difficulty is, why to date China does not have a nationwide brand. Every big player, the so-called big player is still very regional. It's still at a provisional level. If you look at the biggest guy, Eshan County is in Yunnan Province. If you look at [indiscernible] there in Hunan Province and so on, right. So we actually studied the market and we realized that consolidating the market through equity is actually a very heavy way of doing things. We came from an internet background. We believe it is a far more scalable thing to do if we acquire or if we consolidate the supply chain instead. So do not touch their equity just to help them to provide the most critical services to them. What is their biggest pain? The biggest pain is really having the right assortment and having the right prices to better service their consumers. We're in the position to use our technology to really enable those small B's or small businesses to better service their consumers. Obviously, we're having a whole number of projects underway just to make an effort. We believe there is a chance for us to build a nationwide virtual network initially, at least, and that virtual network potentially could become a real network. And given our ambition is to build this integrated online and offline platform. We've already got the biggest virtual network across the country with footprints pretty much across all levels of cities. And remember, we are the pioneer of online pharmacy. That is our B2C capability. We want to extend our B2C capabilities to those small chains or medium chains and the standalone mom and pop pharmacies and so to enable them to better service their consumers. I think I'll pause there, John. I want to see if my team has other points to add.
Luke Chen: John, let me add on to the operating leverage. So the total expenses as a potential net revenue for this quarter is around like at 21.2%. If you look at our top line growth quarter-over-quarter is around 36%. So, we believe we will continue that trend. Internally, we think as a potential of net revenue, the total operating expenses will continue down, hopefully every quarter by 1% or 2%. Then we will probably stay at like fourth quarter, something around 15%. That’s a rough estimate. So, we will see because in the past, we already see very significant leverage when the revenue is up. The operating leverage is very clear in this business model. Back to your first question, I know you’re talking about, because our B2C business, we continue to put a lot of emphasis on our B2C business, but the way we do it is very different from the previous. We focus more on those high-quality medical-type consumers. Where we took medical types. We’re looking at disease type, we keep them on disease type and we offer them the chronic disease management. We’re not doing those like price promotion, online marketing, you want to try those consumer-type they’re shucking [ph] one time. So that’s the difference we’re talking about.
Junling Liu: John, thank you for your questions.
Unidentified Analyst: Very clear. Thank you very much.
Operator: Thank you. We have our next question coming from the line of Rachal Yang from UBS. Please go ahead.
Rachel Yang: Hello, Hello, sorry I was muted. Thanks for taking my questions. Actually, I have three questions. The first one is related to the regulatory change. As we know, the GPO practice has been in place for at least two months. So, as per management, do you see any change on the retail market as we are into the GPO practice? What is the impact on our business? My second question is on fulfillment cost, which is extremely low. It looks extremely low to me. So maybe can you elaborate a little bit about how we achieve such a low fulfillment rate? And last question is a much bigger question. So what do we want to be like five years from now? Thanks.
Junling Liu: Great questions, Rachel. I think probably, I’ll take the first question and then I’ll leave the second question to our COO to talk about and then we can come back to the five-year big question. In terms of a regulatory change, that’s a great question. We have lots of regulatory movements, especially in the last two years and the buzzword in the industry today is really the 4+7, which means the 11-cities trial on the bulk purchase. So, the state authority for Medicare insurance is taking charge. And obviously, they want to replace all the generic drugs with cheap suppliers. And we can see the effect is very, very obvious. And the first batch of SKUs, between GPO had discounts ranging from minimum in the mid-50s, even as high as to 93%-94%. That is bad news for a lot of those original manufacturers in that space because many of them will face the challenge that their drugs will be delisted from the hospital. Even if the doctor want to give that prescription, it’s not even available anymore. Obviously, they’ve been looking for ways of selling those drugs outside of the hospital space. Where can they go? Obviously, there are only a number of places they can go to. First of all, the offline pharmacies and the other clinics, other private hospitals, and also, online pharmacies – this is ideally the place where we play. Not only do we service consumers directly, we also have this [indiscernible] platform. That’s our B2B platform, precisely built to help those little guys to find good products to sell. Obviously, we love that policy. And we have been chased by various different pharmaceutical companies to work with them. As a matter of fact, we put team together just to specifically target that opportunity. All those big pharmaceutical manufacturers will also need to relook at their retail strategy. That’s where we believe we can actually be of great help to them. So, maybe, Harvey, you want to take on the fulfillment question.
Harvey Wang: Yeah. The fulfillment costs [Technical Difficulty].
Operator: Pardon me. Shall we move to the next question, sir? Pardon me for interruption. This is the audio operator, our speaker is experiencing a technical difficulty. Kindly hold on until we address the situation.
Junling Liu: So, Rachel, did you hear the answer to question number three?
Rachel Yang: Sorry. I actually lost audio from the second question. For the sake of time, actually we can take it offline.
Junling Liu: Maybe I’ll just quickly address the last question.
Rachel Yang: Okay, sure. Thank you.
Junling Liu: So, obviously, I want to make two statements. Statement number one is that the Chinese healthcare system is broken today. The second statement I want to make is that in less than 10 years’ time, China is going to have one of the most efficient healthcare systems in the world. If you look at 111, we have a mission statement, which is to build the largest integrated online and offline healthcare platform in China powered by technology. We’re in the space of delivering care to patients. With the capabilities we have built, if you ask me where we want to be in five years time, we want to be one of the most important players in the Chinese healthcare system, the reason being we’re the only one today who has built the capabilities of B2C, of B2B, and we’re the only one with the largest virtual pharmacy network. We have a footprint across the whole country. We play the role of being an enabler of the overall healthcare ecosystem. So, we have every opportunity in the world to do well in that space. So, we’re excited to be where we are and we are looking forward to updating the progress over the next quarters, years. Thank you.
Rachel Yang: Okay. Thanks. So for – my understanding is we will continue to cover more stand-alone pharmacies to increase our share in the retail market, I mean the B2B market?
Junling Liu: Indeed, yes.
Rachel Yang: Okay. Thank you.
Operator: Thank you. We have our next question from the line of [indiscernible] from CICC. Please go ahead.
Unidentified Analyst: Hi, this is [indiscernible], hear me.
Junling Liu: Barely.
Unidentified Analyst: Okay. Congratulations on the financial results of our Q1 results. And I’ve just got one little question. As I noticed in the Slide Page 4, the number of orders each quarter is smaller than the number of pharmacies each quarter. Does this mean that some of the pharmacies contributed zero orders each quarter and will this trend continue?
Luke Chen: Yes, you are right. It’s a good catch. Now, we are serving 130,000 pharmacies. Last quarter I mean – this quarter, the first quarter of 2019, we fulfilled 141,000 orders. So, there are some pharmacies not placing orders in the quarter. Like Junling mentioned before, to get all those pharmacies doing business, we need to do a lot of logistic work, like changes certificate, permits, et cetera and get them going. But of course those – some pharmacies, they are also shopping around. They’re comparing pricing, comparing selection, et cetera. Also, we need our field team to kind of reach out to some pharmacies. That’s the work we continue doing. That’s the way we look at our business. One is we – of course, we are incorporating more pharmacies into our network and we estimate by the end of this year, there will be 230 of them. At the same time, we want all the pharmacies in our network placing orders more frequently with more SKU purchased from us. Of course, we need to provide them with better selection. But you are right, some pharmacies did not place orders in the quarter and we are – the team is working very closely with them to make sure that they are satisfied with our selection, the pricing and service, et cetera. It’s a lot of work to do. Thank you.
Unidentified Analyst: Okay thanks.
Operator: Thank you, sir. Thank you. We have no further questions at the moment. I would like to hand the conference back to Tip. Please take over.
Tip Fleming: Thank you very much, operator. In closing, on behalf of the entire 111 management team, we’d like to thank you for your interest and participation in today’s call. If you require any further information or have any interest in visiting us in China, please do let us know. Again, thank you for joining, this concludes the call.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. To end this phone call, kindly hang up your lines. Thank you.